Jean-Pascal Tricoire: Well, Good morning. I’m here with Anthony Song, in-charge of Investor Relationship and with Emmanuel Babeau, our CFO. And we’re going to have two presentations today, one, on the half year result and then after we’re going to speak about the announcement of our offer on inventories. So, first, let’s move directly on our – to our half year results. I’m going to skip in my presentation the two first slides that you are very well used to, which is the picture of the company and our commitment into a sustainable development on social responsibility. I’ll move straight into headline of the second quarter on the first half. And if I would go to the essential, I would say that Q2 has been marked by a very solid growth with 2.6 organic growth in this quarter to be compared with the first quarter that was negative by 2.7. With that, which we started second quarter, we come back in H1 to a slight growth of 0.1% which is principally fed by our development in new economies on services which are core to our strategy. So, back to strategy on the full first half on steady growth in Q2. Second point is that in the first half we improved our gross margin by 20 bps. And as we kept investing in new economies, services, on R&D, we, our adjusted EBITDA is stable, if you exclude the impact of FOREX on the dilution of Electroshield and Samara which is now integrated into our accounts for portion in this first half of the year. Then to be mentioned also a very strong cash generation in line with the useful performance of Schneider, which means that we maintain our full year target for 2013. So, if we move now into the detail of this performance, let’s start by growth, striking at eminence of Q2 is that all of our business are growing. While, the first one leading the pack is infrastructure, then at the same level industry on building, then our IT business and then our apartment business which makes a total compounded organic growth of 2.6% for the company in Q2. Looking at the geographies, now, we – if you exclude West Europe, the company is growing by 6.5%, to be mentioned that for – in this quarter in Q2, Asia Pac is becoming for the first time the largest business region o Schneider Electric. West Europe is still now in a very difficult economic environment with minus 6% on the second quarter. If we look at the other regions, North America remarkable plus 10% of growth, Asia Pacific at plus 5%, with China adding very good dynamics in Q2 and the rest of the world, well supported by our performance in CIS, in Middle East Africa and in South America. Look at the two major engines of our growth, once again in H1, new economies are growing 8 points more than metro countries and if we have to mentioned that in H1 that represents 42% of the sales of Schneider. And if we forecast on Q2, that represent in fact 44% of the sales of Schneider. At the same time services, are growing faster than the rest of the group by 6 point, and this is focus for investment for our company in the first part of the year. A point to highlight in H1 is complete integration of Electroshield and Samara of which we bought now 100% of the shares this of course reinforces significantly our presence in the sector of energy with strong presence in oil and gas, in utilities and also in mining, minerals and metals. But also it strengthens it reinforces very significantly our presence in Russia where in four years we’ve grown from €400 million turnover to €1.2 billion turnover. This makes nowadays of Russia our fourth largest business country in – fourth largest country in terms of business and our second largest economy. On the start of Eric Force Ethernet full integrated in Schneider is to the – in Q2, in terms of revenue above expectation. Now, moving on to operational efficiency, well, we are pleased that in H1 we improved our gross margin that was due to strong action in productivity, yielding €168 million of result. Good action and pricing in a more complicated environment with €48 million positive and tailwind with raw material by €17 million. This was offset by a mix effect, coming principally from solutions, launch of new products and also geographic mix of our sales in particular part of Europe being weaker and traditionally bringing a margin superior to the average of the group. So, an increase of 20 bps on the gross margin, at the same time we kept on deploying our plan of tethering our supply chain, more precisely to the need of our customers. And we start to bring good results in the field of control of our inventory whereby we gain 50 basis points of the ratio inventory on sales in the first half. And finally, as I was saying, while we increase the gross margin our operational results remain stable. This comes from the fact that we keep investing in the coverage of new economies in the deployment of our services in our investment in R&D. And on those slide, on this slide you will find some examples of the products which are coming out in H1, on those particular we selected them because it illustrate the work of integration of our architecture that we do in the field of water, in the field of process, in the field of integrated hospital and in the field of data center. And our cash investment in R&D increased from 4.6% of sales last year to 5.1% of sales in H1 2013. With that, I will now hand over the mic to Emmanuel, who will for the financial part of the presentation.
Emmanuel Babeau: Thank you Jean-Pascal, good morning everyone. Let’s go through some numbers on our first half. And let’s start with our sales €11.43 billion, it’s a growth of plus 0.2% versus the first six months of last year. And if we look at the component of this growth, we see that organically we’ve been marginally positive at plus 0.1%. Then the scope effect plus 1.5%, this is principally the integration Electroshield and Samara during one quarter. One comment on this first quarter of Electroshield and Samara with more than €114 million sales, we are a bit above our initial expectation of a trend of €500 million of sales over a 12-month period, so a bit above initial expectation in terms of sales. And as you will see from the impact at the level of EBITDA in terms of margin, we are close to what we are expecting, i.e. the margin in line with the average of the group on – regarding its structure. So, I would say, first quarter of the year which has been a little bit above expectation for Electroshield and Samara, that’s obviously good news. Third element, third component of the growth, the FOREX impact minus 1.4%, at the beginning of the year, I would have expected draft to be an impact dollar to be an impact over the year. And what we have seen is that the dollar in fact has been someone stable at least over the first six months versus Euro even if it weakened a little bit toward the end of the first six months. But what we have seen in May, mid-May and over in June, is significant depreciation of currency in the emerging country and that is really accounting for a significant part of the minus 1.4% FOREX impact that you have here. Moving now to the profit and loss account, I don’t come back on the organic growth that I’ve described. Gross profit absolutely stable year-on-year at €4.3 billion despite the FOREX impact. The margin as we said is up 20 basis points at comparable perimeter but stable integration of Electroshield and Samara. And then we will see the evolution of the support function cost which has been growing a bit quicker than what applying and we’ll see why in a minute. That gives an adjusted EBITDA of €1.532 million, it’s down 2% versus last year. And the margin adjusted EBITDA on sales has reached 13.4%, this is 20 bps lower and this is fully explained by the perimeter impact, so 10 basis points coming from the integration of Electroshield and Samara. And second, the FOREX impact which is another negative 10 basis points. So, at constant perimeter and FOREX we are stable in terms of adjusted EBITDA margin on this first half. Now, looking at the details both for the gross margin and the SFC, what are the big drivers. Jean-Pascal already commented on positive element at the level of the gross margin. Productivity, €168 million as we remember, we have a target for the year €300 million to €350 million productivity positive for the year. We’re well on track to deliver on this target for the year. Second element, price, €48 million positive, you will remember that initially we had said and we could reach for the full year €100 million. Then, when we saw the decrease in raw material, we said we may be a bit more tactical even there. So, it’s better to look at the global total price increase plus raw material impact. At the beginning of the year, we were targeting to be neutral or it could be better. If I look at what we’ve done through this first six months plus €48 million for price plus €17 raw material impact so it’s a nice €60 million plus combined for the two. For the rest of the year, I would expect price probably to be more limited in terms of positive price impact given the environment and the low inflation or deflation that we’re seeing on raw material. But I would expect further good news on the raw material impact. And we could be anywhere between €40 million and €50 million positive for raw material impact based on the current price relatively good news coming from the copper and the silver. In front of this positive element, we have the mixed impact I was expecting it to be a bit lower this year than last year, that’s what we are seeing. But nevertheless it’s still significantly getting mixed impact, minus €114 million. And what do we find in the mix, well, first of all geographical mix, which is still negative and clearly the bad result of sales evolution in Western Europe is not a positive element, as we all know that for historical reason we enjoy good margin in Western Europe. Second element, on product, we have been affected by a few one-off during this first half that we see as non-recurring of course but which has been impacting and are classified as mix. And third element on the product the growth in new economy and growth in some product like Luminous is certainly good news, but it’s coming with a margin – gross margin with sometimes a bit lower. So that can play as well, using product as negative mix. One product, it does mean that the EBIT impact is lower once again because of the SFC in new economic and be lower that was the comment many on gross margin. So, these are the negative and positive, on inflation just to finish on margin. As always, you look €40 million to €50 million inflation on wages, nothing particular to mention during this first half in that respect. Then, moving to the impact on the support function cost, as you can see, it has been going by €39 million. But the majority of this amount is coming from increased spend in R&D. And like in 2012 I would say, you have a net number here which is in fact I think two very diverse realities. On side, we are generating significant savings, efficiency gains on our structure in country where of course the business is negatively oriented, in mutualizing, simplifying, rationalizing. And on the other side, we keep investing, clearly on R&D and that was going to continue. We keep building up our teams and our presence in the new economy. We keep building our skills in software services and solution globally. So what you have here is really a net of two powerful movement going in opposite direction. And then the last element that I still need to comment is in the impact of the FOREX, which is significant, minus €38. Again, the economy of the emerging – currency of the emerging country as a big impact, British Pound and Australian Dollar has another important impact during this first half. Moving now to the margin by business, we have two businesses which have been growing significantly in terms of margin and really reaching high point. First of all, partner plus one point and second industry plus 0.9 point. And these two businesses enjoy margin around 20% I would say. They have been benefiting from the work on the productivity and you have seen the impact of productivity. They have been benefiting from price increase action, so these are the driver of the implement of profitability. In front of that we have situation with some decrease, on IT, minus 1.4 point totally expected. You remember that when we commented very high level of margin in 2012, we said it’s good, it’s going to stay good but don’t expect the business to stay at that level in terms of margin. And therefore it’s minus 0.4% is totally in line with our expectation in terms of evolution. Then in cost structure, minus 1.2 points with impact coming from, as I said some really limited negative one-off on a few contract during the six months, difficulties still with Telvent in Spain and in fact that the business is still under pressure in Spain which also is being impacting the margin of infrastructure during the first six months. Beyond these two elements we have seen the continuation of some very good evolution of our margin on solution and we clearly maintain our objective to keep improving the profitability on our solution. Last element, buildings, minus 2.1 point, very difficult to read. First of all, globally, of course there is a decrease in terms of top-line for building during the first half. But as you know, and we’ve been showing that with you, the business is very much transitioning in terms of businesses, there are places where we’re investing to put new business in place. The savings on other places have not been realized. So the margin is decreasing, but it’s not the underlying trend and we expect things to improve in the coming quarters. Moving to the rest of the P&L, we’ve in fact very little seem to mention if you look at our H1 this year versus last year, lot of similarity. Two elements though to explain the evolution of the result. The first one, at the level of the net financial expense, you see an increase of €33 million. Well, in fact when you look at just the financial cost on our debt, the total amount of financial interest paid has decreased. And the average cost of our debt keeps decreasing. And I do expect the cost of our debt to keep decreasing, as we see at the end of financing put in place in the path of higher cost. And giving importance of financing that we put in place recently are that we can put in place in the future at cheaper cost. But we have been facing during this first half, certain €1 million of negative FOREX impact, which really explain the reason for this net financial expense increase. The second element which has been impacting us at the level of the income tax, totally expected and shared with you. We said at the beginning of the year that we are expecting our tax rate to move from 23% to between 25% and 26%. We were last year, 23.5%, we are here at 25% and that is of course I think an impact on average of the net income. That explains why, at the level of the EBIT we can see that we are stable 1% down versus last year. But at the level of the net income group share, we have reached €831 million and we have done 5%. Moving to the cash flow, again, cash for this first half leads very much in line with traditional normal steady pattern for the first half. As you know, most of our cash flow for seasonality reason is due to the second part of the year. 2013 we make no exception. We have a free cash flow of €340 million, a bit below €397 million last year but very similar. When I look at the various component, first of all, you have the operating cash flow below the decrease in the adjusted EBITDA, you have seasonality in tax payment notably in the U.S. which is costing us more than €60 million. And we intend that to be largely recovered in the second half. When I look at the CapEx, as you can see, it’s well under control, a bit health by some disposal of real-estate during the first half. In the trade working capital, last year was quite exceptional with positive evolution of the receivable in the first half, which was due to some one-off element and very noted slowdown or difference of sales. This time, we are in a different situation, we have seen on the contrary, and acceleration of our sales towards the end of the first half so this has some translation into the negative evolution of the receivable. And another element is that we are indeed saying, some increased pressure in some country on the receivable and time to be paid without I would say any significantly bad news but just to be noted certainly some pressure in some countries. As Jean-Pascal mentioned, we are good on inventories, with even a slight decrease versus last year of the impact on inventory during the first half. This evolution of the trade working capital is compensated by a much more positive evolution of the non-trade working capital and that explains why the free cash flow is to a large extent in line with what we have generated during the first half last year. Below free cash flow, you have the dividend here it just reflects the 10% increase of dividend this year. Acquisition is greater than €9 million is mainly the acquisition – the remaining Electroshield and Samara. Capital increase which are (inaudible) that’s we have seen during the first half. Other elements plus €53 million, this is the FOREX impact coming from the dollar on our debt. And that gives a net debt at the end of the June of €5.276 billion. The cash conversion has been very good over the last 12 months, we are 114% so we keep in line with this long-term objective of 100% across the cycle. And we have net debt to adjusted EBITDA ratio at the end of June over the last 12 months which is still very strong at 1.3 times. Jean-Pascal, I hand over to you for the outlook.
Jean-Pascal Tricoire: Yes, so summarize this H1, good momentum of growth in Q2, which makes that we catch up at the end of H1 on our growth target for the year which is stable H1. Good operational efficiency, deriving in an improvement in gross margin. Continued investment as we always said in R&D in services in new economies which makes us stable or solid operational results on the steady cash generation. Now, what about our priorities for H2, well, nothing very fancy here but keep driving a profitable growth. Keep delivering operational efficiency and guess what, integrate acquisitions to keep capturing synergies on the maybe more now place in H2 than we initially thought, go to the next section. Now, if you look at the outlook, what we’ve seen in the first half is a good growth in North America and China, continued growth momentum in most of new economies and overall weakness in Western Europe. While we absolutely recognize that the world economy is today very uncertain, we see still good momentum in North America, in China, in new economies. And we kind of see now sign of sequential stabilization around the end of the year in Western Europe. But at the same time, as it was said by Emmanuel and myself, we shall very closely monitor the evolution of emerging market currencies and the companies that does now in Q2 44% of its strong revenue economies. And we expect on that side stabilization. In this context, we confirm our target for 2013, a low single-digit organic growth in revenues for the full year and to stable to slightly up adjusted EBITDA – adjusted EBITDA margin. With that, we have concluded our presentation. And we are ready to take your questions.
Anthony Song: Thank you, Jean-Pascal and Emmanuel. So, now we open the Q&A. So, we first start with people on-site in the meeting room, then we will switch to people on the phone. So, anybody in the meeting room has any questions, just raise your hand. All right, that gentleman.
Gael de-Bray – Societe Generale: Thank you very much. Good morning. Gael de-Bray from Societe Generale. I have maybe two questions, the first one related to the latest comment you had about emerging market currencies and the volatility we’ve seen over the past few months. Does that mean that you probably need to further rebalance your cost into emerging market to kind of avoid any transaction, any negative transaction impact on the profitability? The second question is, related to the couple of negative one-offs, on a few projects, you mentioned in the first half, it seems that executions risks have reason somewhat to cross the company probably in line with the growing share of the solutions business. So, could you maybe elaborate a little bit on that please? And if I may, but maybe it’s a little bit too early, I guess this would be related to Invensys but in a similar way. How do you assess Invensys project management and reach control procedures generally speaking? And in particular how hard is it progressing for them in China, in relation to their nuclear business? Thank you.
Jean-Pascal Tricoire: So, we’re going to – keep to the next – the last one for the next session if possible. On the rebalancing this, as you know, it has been a permanent effort at Schneider to rebalance our cost but I would say more our industry old technology presence closer to our end markets. So as our presence in new economies was growing, we have rebalanced our manufacturing footprint, we have rebalanced our R&D close to our customers. Now, the growth of the sales is growing faster than the rebalancing of costs. So the answer to your question is, do we keep investing close to those new countries, those new customers, the answer is yes. Now, do we follow exactly on by quarter, the pattern for our sales, the answer is also no. So, this is something that we’re going keep doing but you have some quarters like this where you get some on balance. You remember that – you remember when I took the CEO job actually, at that time the big topic was rebalancing the US dollar presence or revenues together with the Euro base of cost. On this one, we’ve done a fairly good job. Now, at the same time, we’ve developed into many other countries with many other currencies. Now, we’ve got to do the same job gradually to balance our base of cost on our base of revenue, now which would never be perfect because it’s for obvious reasons. But we keep doing that, we do that with methodology, we don’t do that by the quarter, it’s a long term plan. On the project, I don’t think you can conclude anything about, I think on the contrary, that we must better on better, execution on projects, off projects at Schneider. But when you speak about solutions, it’s a mix of systems, it’s a mix of equipment, it’s a mix of services. Quarter-by-quarter or six-months by six-months, this mix is varying. And sometimes, it’s true some of the projects are a bit more difficult to execute. This is a case in H1 that on the contrary I think we are profit rate, not I think I’m sure. We’re professionalizing our execution of projects as we grow in terms of mass of competencies, as we professionalize those competencies and as we massive those competencies are around well identified project centers. And results anticipating too much on the next section, Invensys really reinforces even more in that sector.
Anthony Song: That gentleman there.
Alfred Glaser – Cheuvreux Securities: Yes, hello, Alfred Glaser from Cheuvreux Securities. I was – I want to talk about two topics. Could you please comment on the margin evolution of products versus solutions and the whole speed of progress is going? And second one, on pricing and market pricing, could you give us some more color on how prices are evolving currently, sequentially or year-on-year by business?
Emmanuel Babeau: If you look at the detail of the number, you will have some element of answer to your question Alfred. The first one on the margin evolution between product and solution, what we have been doing on price and what we have been doing on productivity is certainly first, not only but first being positive for products. So, globally, when you look at our various businesses, or five businesses, whether they are most cured to our product or solution that will show you that product has been a bit over-performing solution during this first half. We mentioned on solutions some – I would say temporary and during this first half, it’s not changing at all the trend that we are designing on the medium term for continued improvement on margin for solution. On pricing, as you know, we talked only on product to pricing impact, so when you read the €48 million positive price, it’s really coming from the product. We are not able to validly make the calculation on the solution. But I would say that on solution what matters is the level of margin that you expect on which project, and that is part of our job to keep improving overall the marginal solution.
Anthony Song: Any other questions from people on-site. No, if not, then we switch to people on the phone. So, the first.
Operator: We have a question from Mr. Ben Uglow from Morgan Stanley. Please go ahead sir.
Ben Uglow – Morgan Stanley: Good morning, thanks very much for taking the question. Two things, first of all, Jean-Pascal, could you give us just a bit more color on the industry division. The margin there has been – is up 1.4 percentage point on essentially flat growth. Is that just the function of cost take out or are you seeing any significant improvement in your product mix or are there any other geographic effects? I’m sort of curious to know what you think is getting those industry margins up to 20%? The second thing is really the buildings margin, what I’m curious about here, I mean, the margin is now down to 4%. And I appreciate that the – it’s first of all cyclical headwinds. But my question is, realistically, do you have the right portfolio in buildings even as and when the kind of recovery in the top line comes, do you think that you’re going to be delivering a sort of respectable above industry average margin or do you actually think that division requires portfolio fix?
Jean-Pascal Tricoire: Yeah, well, speaking about starting by industry and we’re going to speak about industry today. Our journey of industry has been the journey of construction. First step has been on the basis of our products to build a very steady, and very integrated solution systems from machines, which we call it MachineStructure. And then once we have squared that we went into the building of a very steady platform for end users and we call it PlanStructure. More recently, actually beginning of or end of last year we launched an extension of that which is directed to make in-roads into process reclamation – process in German system, our PlanStructure PS, which we start into taking first project on user a very good success. What I think is happening in industry is that first, we have now platforms of products completed by platforms of integration, which are exceptionally well integrated. So, they are an easier access to the customer – our customer are gaining money by integrating them, by operating them on these stops clearly to look out. The second point is that for all of our customers in industry, the energy equation is becoming more and more important. When we speak about efficiency in the right sense of efficiency, we offer our customers technologies of efficiency, not only for process efficiency which is a traditional play of automation. But also for energy efficiency and for safety efficiency, all of this integrated into one package. And this gives us, in many cases a very good value proposition, a very unique value proposition because we are in the industry, so player which is the most able to integrate together the process on the energy path of the equation. And the third point which I think I’ve always been vocal about is that in an industry, which traditionally tends to adopt complex solutions, we’ve taken the path of – the party of delivering simple solutions, which speaks a lot in new economies, which needs to be operating their plan, setting of their plan, setting of their machines fast on operating them simply. And this also gives us a difference on the market with our customers and gives us an easier way to deploy those solutions on the market through integrators which is also the core DNA of Schneider, working with partners to deliver solutions with our bricks of technology. All of this makes that if you look our ramp-up in the past years, this construction of integrated platforms, this integration, massive integration of energy and safety into our systems on this choice of playing with local partners make that I believe we have an efficient way of delivering our solutions to the market. And I believe our teams have done a very good job to make this platform grow and grow profitably over the past years. On buildings, this is a discussion that are very often on H1 says that as a seal, but I somewhere believe that what we describe as building in our reporting is some way of misrepresentation of what Schneider does in the building. To be very precise and to be very transparent, we put in what we details buildings, the building consult part of the equation and make to an easy large building control part of the equation. I remind you that building is our largest business at Schneider, it makes roughly 40% if you put residential and commercial of our business. And these projects are most profitable. We have isolated in these description of building what is the control of very large buildings. We – what we do in this, I believe we have the right portfolio but this is one of the rare activity at Schneider which is not deployed fully geographically. So this business as so further in its historical geographies of decline in market, namely Europe, on US (inaudible) and at the same time we invest significantly to deploy it into new geographies which puts pressure on the profitability. But if you want, if you would like to have that pole to our pole picture with some of our competitors you have to integrate all the pull-through of power on UPS that we get sometimes with this business. And the picture is far more favorable. So, I consider it as strategic ways to converge this control part of the equation together with the power part of the equation, which is through an industry, which is through in buildings. And the picture that we give you a building is probably the most negative one we are given respect to a reality which is far more positive.
Anthony Song: All right.
Unidentified Analyst: (Inaudible). In principle, do you believe that the offering i.e. building elements, building controls and visual security that come in shape of the offering does make – it does make strategic sense to Schneider?
Jean-Pascal Tricoire: Yes.
Unidentified Analyst: Okay, thank you.
Anthony Song: Okay, so next.
Operator: We have our next question from Andreas Willi from JPMorgan. Please go ahead sir.
Andreas Willi – JPMorgan: Yeah, good morning gentlemen. Question on the market growers, China or Asia and the US pose maybe better than expected and certainly better than in Q1, how do you explain the big change in the US given that most companies that report so far didn’t really report any improvement in the US in Q2? And in China, if you could give us some understanding of the growth you have there and what do you see as growth of the market and growth of Schneider based on the investments you have done and the moves, the experts that come through all of that?
Jean-Pascal Tricoire: All right.
Emmanuel Babeau: On the Chinese growth and the Asian growth, I think that we mentioned that in fact that China was back to growth. It should that we have seen a little bit of acceleration linked to the conception market and this movement to westward that we are doing is successfully. And clearly we are catching up with the growth of the Chinese economy in the western part of the country and that is showing up in the number. And for the rest of Asia, it’s a combination of good success on some of our businesses in India, notably with Luminous which continues to be a big success. A good success in South East Asia and Indonesia continuing to be a very good market, so that’s really what is driving up the performance of Asia during the second quarter. You want to take North America or?
Jean-Pascal Tricoire: Yeah, on North America, we benefit from the rebound of residential that we see very clearly. The leverage remains question mark, still quiet week. Very good news on our side also at the level of datacenters which will benefit from not only in the white space, in the UPS space but also in the medium voltage, on low voltage space. And thus it is a place of excellence for us, which is a trend that we benefit fully. And we start to make very nice in-roads in the field of infrastructure. So, all of this is beneficial. And I would say also in industry, we see some positive business developing, so we don’t see as much of a boom as in the energy sector. So, residential, datacenters on IT, energy on industry are what is pulling us in the US. I would complement what Emmanuel was saying about China, like, by saying that what our investment on our deployment in which we call the west vision, which in fact is west to north to south and everything outside of the Eastern seaboard has been paying. It’s been a huge inflows sometimes crusty in our investment. But it’s paying in terms of revenue.
Andreas Willi – JPMorgan: One on the US, so the datacenter market overall terms or is it more a company specific for you?
Jean-Pascal Tricoire: I can only speak for Schneider.
Andreas Willi – JPMorgan: Thank you.
Anthony Song: So, okay, so next.
Operator: We have a next question from James Moore from Redburn. Please go ahead sir.
James Moore – Redburn: Yeah, good morning Jean-Pascal, Emmanuel, Anthony, I’ve got three questions. You mentioned some comments on the profitability of the selections piece. I wonder if you could just go a bit further and say whether you think emerging margins installations might be down on to our total picking back-up in ‘14. Or what do you think you can have flat this year, given the project issues? Secondly, you mentioned that Telvent has been a challenge and you’ve talked about that for some time now. I think it was doing a double-digit margin when you announced the deal. Could you size where it is now, I’m wondering whether that’s gone into EBIT loss. Just if we can get some sense as to what the outlook used to be, help us with that. And one more, the opportunity on the bounce back is there. And then, thirdly, a bit of housekeeping on the bridge, times you have just at the half, you’re thinking it’s really – you mentioned on the raw material, I wonder if you could perhaps walk through some of the other key categories of price mix, base cost, productivity?
Jean-Pascal Tricoire: James, on the profitability of solutions I will repeat myself but solutions are mix of systems, equipments and services. I called into to the phases of execution of your projects, you have evaluations on your margins, on everything, which is systems, on equipments. And provided it is within a margin which is acceptable, there is no big surprise on no big issue. At the same time, we are developing faster services and services are structurally more profitable. But at the same time, we are investing in services, which, is bringing some cost into the equation. So, take it as six months statement, but we keep progressing and we keep in our direction of improving the solution and profitability of the connect plan which is finishing in one year and half. And we voted ourselves the improvement of profitability by 2 points off margin, okay. About Telvent, what was mentioned, here is particularly is a Spanish case, which is weighing on the results of Telvent. And they are again a few projects that were affected but the main issue that we are having to deal with is the weakness of the Spanish market, and this was integrated in the plan and we’re doing it as we speak. For the bridge for the year?
Emmanuel Babeau: Yeah, just to finish on Telvent, I mean, it’s still of course a profitable business. And this is what you said, this is let you know, it’s still profitable. But I just remind you that Spaniard, remember that – let me remind you that the Spanish business was around 30% roughly speaking of Telvent when we made the acquisition. So, that was a sizable buck, it’s lower than that today. But that certain has been weighing down the top line, and that means that we have certainly some impact on the total contribution which is coming from Spain. I would say Spain, we’ve been growing since the acquisition and we can report some very nice evolution for the oil and gas activity for instance. On the year, the AOC for the year-end, well, I thought I have been already shared a bit too longer in fact on the AOC and showing a lot of information. So I don’t know exactly what you expect me to share in addition with what I have already shared. But I think I was little exhaustive on that point.
Jean-Pascal Tricoire: I agree.
James Moore – Redburn: And on EBITDA sort of triple digit – only a triple digit number for four halves. Do you have a feeling as to how that moves over the coming few years rather than just the coming half as to whether that is going to just be this ongoing solutions job mix or whether that has a natural end point?
Jean-Pascal Tricoire: On the mix, as you know James, it’s made of very different thing, so it’s very difficult to give a trend. I think there is this long-term trend that we described as we expect solution on average over time to go quicker than product. There is this embedded negative mix on the long-term. Then what will happen by country and within the product, it’s very difficult to tell. So I cannot be more specific that yes, this expected stronger growth in solution on the long-term versus product as a kind of natural negative mix impact on the long-term.
Emmanuel Babeau: On the other shift happening today is also the shift of Europe to other economies. So that’s also waiting our mix.
James Moore – Redburn: Okay. Thank you.
Anthony Song: All right. Given the time constraint we have – so we have to conclude our half year presentation here. And we’ll go back in 15 minutes for EMS transaction presentation. So, here I would like to than you Jean-Pascal and Emmanuel. And thank you everybody. We’ll be back.
Jean-Pascal Tricoire: Thank you.